Aimee Gaudet: Thank you, Doug. And good morning to everyone. On the call today is Stewart Wallach, Capstone's President and Chief Executive Officer; and Gerry McClinton, Chief Financial Officer. They will be discussing the year end results, as well as give us an update on the strategy and outlook followed by a question-and-answer session. If you do not have the release that was distributed yesterday afternoon, it is available on the Company's website at www.capstonecompaniesinc.com. As you are aware, we may make forward-looking statements during today's presentation. These statements apply to future events which are subject to risks and uncertainties, as well as other factors that could cause the actual results to differ materially from where we are today. These factors are outlined in our earnings release as well as in the documents filed by the Company with the Securities and Exchange Commission, which can be found at capstonecompaniesinc.com or at www.sec.gov. With that, I'll turn it over to you, Stewart.
Stewart Wallach: Thank you, Aimee. And good morning to everyone. I appreciate your time with us today. Before introducing Gerry McClinton to review the year end financial results, I would like to take a few moments to discuss the company’s strategic planning and how it has contributed to the strong financial performance in 2017. As Gerry will share with you during his financial review, we have posted record revenues for the year. This of course follows on the heels of a record 2016-year end as well. Our growth in revenues of approximately 20% was a result of an extensive product line extension earlier in the year which produced record revenues in Qs one, two and three. Qs one and two were approximately 55% higher, and which those quarters historically are our weakest revenue quarters. So clearly our Q1 2017 of 6.8 million had a significant impact on this year’s numbers. Our new product roadmap remains vitally important in our looking forward strategies. We are not only continuing our efforts in identifying exploiting categories where Capstone can make an impact but we are determined to invest in expanded R&D resources to stimulate the innovativeness and volume of new product introductions. I will elaborate on this a bit further following Gerry’s review. At this time, I would like to introduce Gerry McClinton to review the highlights of the financials and again after which I will comment on the company’s outlook and that will be followed by a question-and-answer session.
Gerry McClinton: Well. Thank you, Stewart. And good morning, everyone. Well let me say, another record breaking revenue year and most important we ended 2017 totally debt free which has been a major strategic goal for this company for some time. So, let’s review the numbers. Net revenues for the year ended December 31, 2017 were approximately $36.8 million, that’s a record. That’s an increase of $6.1 million or 20% from $30.6 million in 2016. Now we continue to advance in the retail support programs. In 2017, we provided $1.9 million consumer rebate allowances, which contributed to the significant growth evidenced in the Duracell and Hover programming. Marketing allowances are reported as reduction to grow sales and therefore already accounted for and reported net revenue number. For the year December 31, 2017, international sales were approximately $1.8 million or 5% of net revenue as compared to $2.4 million or 8% of net revenue in 2016. The impact of private licenses on international sales will clearly vary as brands may not be as recognized in certain countries as in the U.S. in fact, we found that particularly in-home improvements markets in Thailand, they're referred to use their own controlled brands. Gross profit and cost to sales. Gross profit for the year-ended December 31, 2017 and 2016 was $8.8 million or 24.1% of net revenue, and $7.4 million or 24.2% of revenue respectively. Gross profit for the year increased by $1.4 million or 19.5% resulting from the increased net revenue in 2017. Cost to sales were $27.9 million and $23.2 million respectively that's an increase of $4.7 million or 20.1% from 2016. As a percentage to net revenue, the cost remains stable at 75.9% for both years. This is reflecting that the material costs remain steady in 2017. Total operating expenses for the year-ended December 31, 2017 and 2016 were approximately $5.6 million or 15.3% of revenue and $4.1 million or 13.2% of revenue respectively. That's an increase of $1.5 million or 38.4% over 2016. Now of this $1.5 million increase, $1.1 million came from increased sales and marketing expenses. Of which $786,000 resulted from increased royalty fees paid to the license force. Agent sales commissions also increased by $144,000 on higher sales volume. Advertising and trade show expenses also increased in 2017. Operating income for the year-ended December 31, 2017 and 2016 was $3.2 million and $3.3 million respectively. Now operating income remain consistent with 2016, although operating expenses as I just alluded to, increased by $1.5 million. Interest expense for the year-ended December 31, 2017 and 2016 was $122,000 and $281,000 respectively. That's a reduction of $159,000 or 56.6%. Our stated strategic goal for 2017 was a reduction of interest expense and the elimination of corporate debt. Provision from income tax for the year-ended December 31, 2017 and 2016 was $1.29 million, and $267,000 respectively. Now that's an increase of $762,000 from 2016. The company has now exhausted its previously carried forward net operating losses. We are in a position that we must now provide for full tax provision. Net income for the year ended December 31, 2017 and 2016 was $2.1 million and $2.8 million respectively. Now looking at the year and then summarizing the financial performance for 2017, the major highlights are: Revenue increased by $6.1 million up to $36.8 million, an increase of 20%, a record. Gross profit was $8.8 million up from $7.4 million, an increase of $1.4 million or 19.5%. Operating expenses were $5.6 million an increase of $1.5 million or 38.4%. Interest expense was $122,000 down a $159,000 from 2016. Provision for tax was $1.029 million, up $762,000 from 2016. Net income of $2.1 million was down $700,000 from $2.8 million in 2016, and that’s a major result of the tax provision we had to make. Let’s talk about liquidity and capital resources. Reviewing the year end 2017 balance sheet, there are some major changes to note. Cash on hand balance of $3.7 million in 2017 up $2.1 million as compared to 2017-year end. Inventory we had $141,000 in 2017 compared to $366,000 in 2016, a reduction of $225,000. Income tax payable $624,000 in 2017 compared to $2,000 in 2016. Notes and loan payable which I am very happy about is zero in 2017 compared to $1.3 million in 2016. Stockholders’ equity increased to $6.8 million in 2017 compared to $5.1 million in 2016. Net working capital is now $5.1 million compared to $2.8 million in 2016, an increase of $2.3 million or 81.3%. I believe we would all agree that our balance sheet has significantly improved from last year and I think our biggest achievement of having zero debt and significant more cash in the bank. So, let’s review the funding activities -- operating activities. Cash provided by operating activities was $3.4 million in 2017 compared to $4.2 million in 2016. Net income of $2.1 million combined with the collection of accounts receivables of $1.1 million and inventory reduction of $226,000 substantially improved the company’s cash position to $3.7 million at year end compared to $1.6 million in 2016. Cash used for investing activities in 2017 was $48,000 compared to $54,000 in 2016. Now the company continues to invest in new product launch truly. Management believes that our cash flow from operations and additional institutional borrowing as needed will provide for these necessary capital expenditures. Financing activities. Net cash in financing activities for the year ended was approximately $1.4 million cash used compared to $2.9 million used in financing activities in 2016. The company eliminated related party debts of 1.3 million, the company also used shares to satisfy $241,000 of all related party debts and the company repurchased and retired 1, 656,000 million of company shares during 2017. At December 31st 2017, the company complies with its entire covenant pursuing to exist the credit facility. Management believes that our cash flow from operations, continued support from starting national bank and continued support from our Directors as needed will provide sufficient financial resources for the company in 2018. This concludes my financial summary for 2017. I’ll turn the call back to you Stewart.
Stewart Wallach: Thank you, Gerry. And further Gerry financial review, I’d like to emphasize specific highlights that contributed to our record 2017 performance and additionally offer some perspective into 2018. Important note, now that we’re profitable and cash under balance sheets, it's important to identify where we’re going to be making investments. We are expanding our investment in R&D to ensure more product releases at an annualized basis with less reliant on industry show scheduling. Let me explain what this means. Particularly to the company, is that our quarterly revenues should become more normalized and strengthen queues one and two as evidenced in 2017 where we had the largest pre-show product line up. By introducing products to the buying community as they are completed as opposed to holding them for industry wide introductions i.e. the hardware shows we will improve our opportunities for product placement throughout the year. This is one of our primary objectives as it relates to investments that we will make with the profits in 2017. Our licensing strategies particularly as it relates to the Google brand exceeded our expectations. In 2016, we paid approximately 417,000 in royalties as compared to approximately 1.1 million in 2017. Even with this significant royalty expense, the company had a highly profitable year and also was able to satisfy all outstanding debt from its operating cash flows. Curiously, our experience with the Duracell brand was less productive as the sell through of the Duracell brand [indiscernible] in 2017 versus the Capstone brand [indiscernible] in 2016 were not as strong. Moreover, we expensed in excess of $400,000 in the Duracell royalties. Our investment to support retail sell through including consumer repay [ph] programs was $1.4 million versus 699,000 in 2016. The company repurchased 1.7 million shares in 2017 which equates to $250,000 in plans to continue the repurchase campaign in 2018 governed by operating cash flows. Our commitment to satisfying older director loans has met and we finished 2017 with zero debt to directors having satisfied the remaining $1.3 million in 2017. As our NOLs were fully utilized our provision for taxes this year was approximately $1 million. This is the first year that Federal state taxes impacted our income. The reduction of tax percentage in 2018 should enable us to further consider repurchasing stock in accordance with the board's approved plan. 2018-19 will benefit from investments to be made and expanding its workforce. Our prime focus in 2018 R&D and product development with objectives targeted at expanded product assortments and categories. Over the years, we have maintained a very strong operating leverage, building our business with the minimal workforce. Revenues per employee were approximately $2.6 million. Looking forward, while maintaining our discipline and low-cost operations, we will strategically invest in R&D, marketing and management personnel where the company's growth could otherwise be stunted. It is important to point out that these investments were not made prior to this year until the company satisfies its debt and generated substantial operating cash flows in keeping with the company's initiatives. I trust these focal points communicate effectively the progress made over 2017 and our plans to expand our capabilities in the future. I should point out that our R&D investment will also enable us to expand our product visions beyond our core LED business. In keeping with that, I am pleased to tell you that we are committed to participating and have already assigned space for the 2019 Consumer Electronics Show. We will be introducing a new product line in January of 2019. We're very keen on product categories and opportunities that are relevant to the consumer markets in this digital age. Just as we entered LED market early and provided innovative products at affordable prices, we will be entering other categories that are relevant to the marketplace but yet fit within our proven business strategy. I like personally thank our long-term shareholders for your continued support and to our new and potential shareholders I'd like to welcome you to this exciting time in our company's history. That concludes the presentation. I think we should move to Q&A? Alright.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions].
Aimee Gaudet: We're going to do questions sent via email first. And then move over to the phone.
Operator: Go right ahead.
Aimee Gaudet: Okay. So, the first question that came in. We can see that the gross profit of the company has significantly increased in dollars, but as a percentage of revenue has gone down. As you mentioned the gross margin is reduced by marketing funds, consumer rebates. Do you see this as a continuing trend?
Stewart Wallach: Let me answer this one. In 2016, we invested $2.5 million in marketing funds and achieved $30.6 million in revenue, which equates to about 8% 8.1% of revenue. In 2017, we've invested $1.9 million and achieved $36.8 million in revenue. That represents about 5% of revenue. So, message is, sales are up, gross profit is up and the marketing fund cost went down. Now overall, we find that such significant investments in retail support programs have proven very effective in achieving product placement and developing consumer brand awareness. And it’s particularly important when a new product portfolio is launched. So, I certainly see this continuing but in a very, very controlled way so that we can request bank for our investment.
Aimee Gaudet: Second question came in, in the Q3 website you referenced launching a new product line category. Can you expand upon that a little bit and what you can do for the company? Maybe Stewart you can.
Stewart Wallach: As I referenced in my closing statements, we are increasing our R&D and product development departments in an effort to allow us to rapidly expand into the new category without impacting efforts to continue to grow our core LED business. At this point, our human resource is fully utilized. And as such, product development and prototyping are not occurring as quickly as I would like. However, I compliment the management in doing the best they can with the resources they have. I remain optimistic that we will privately be introducing the new product category to key retailers, in fact appointment set and scheduled in Q2, with the intent of having a formal public launch in Q4 followed by an industry launch at the January CES Show 2019.
Aimee Gaudet: Okay, great. Number three, has the Board made any additional progress in up-listing?
Stewart Wallach: Okay, this is an ongoing discussion and in Q3 I discussed this in lesser detail but I shared with our shareholders that we were considering up-listing into OTCQX. However, we had put that on a hold at the moment until we could gauge the potentials of our expanded product lines. While OTCQX does offer benefits to us, the Board has set its sights and challenged me to consider NASDAQ when practicable. I do want to emphasize at this point there is not a specific plan in place. But this remains a priority for the Board and we will revisit this later in the year as our new product initiative unfolds and we could gauge its full potential.
Aimee Gaudet: Great. Thank you. Next question. We really appreciate your efforts and see that the company continues to perform year-over-year but communications are not as strong as some of us would like. Can you expand upon that a little bit?
Stewart Wallach: So, it’s a frustration for us all, I am sure. I recognize that this is an area of importance to the shareholders. And we will address our exposure campaigns for both the shareholders and consumers as our product lines expand. It is important to me personally that we have as sound a strategy and IR and product PR commensurate with our operating initiatives. What I mean by this is that if we are going to be making an investment in exposure campaigns, we should be aligning those exposure campaigns with the direction the company is taking. It is not a simple formula of just increasing exposure to increase trading of the stock. As you know we particularly for our long term shareholders, we are a disciplined group of seasoned business people and we deliver on our promises, everything doesn’t happen quite as fast as one might like but at the end of the day we have always focused on transparency being open, honest and as direct as we possibly can sharing insights into the business to guest that are also open honest but respect the obligations we have relative to vendor agreement and my personal philosophy of not telegraphing competitive product information that would be an advantage for competitors in the marketplace. As we become a bigger company, we become a bigger target and part of that equation is increasing our investments in the marketplace which you can see having increased substantially on our operating expenses. But those operating expenses weren’t targeted at marketing expense. This is not a matter of bigger salaries, lavish offices, expanding operations just to make things easier for our staff of 14 people. The reality is we make the prudent investments in the areas we get the best return. Today, I have yet to review an IR strategy and I have had several companies present to me. That really align their objectives with ours. Its typically a matter of telling a bigger story, putting out more PR and basically just increasing exposure. That’s part of the formula, that is not advancing. So, along those lines, I want you to know that we do recognize it but at the end of the day the growth of sales through product expansion continued careful, fiscal controls and discipline at a way that we will continue to build the company’s fundamental and ultimately move us to a potentially uplifting. CAPC needs more communications, there is no question about that. However, at this point we are continuing to focus on the expansion of our R&D, our product development, building revenues and launching a new category of products while we are reviewing our options for the IR. So, while it may appear that it's being ignored, it is not, it simply has not been prioritized possibly the way everybody would appreciate that it would be. Anyway, it's probably more information than you needed.
Aimee Gaudet: That will definitely give them some perspective. This question is geared towards Jerry, the good news is that we’re profitable and have to pay taxes. The bad news we have to pay taxes and is now a meaningful number. How does tax planning fit into your strategy?
Gerry McClinton: Too early for question that, you know we will, with this the tax laws have change pretty dramatically in the recent months. Actually, the tax professionals are trying to catch up with the impact of these changes, they’re struggling right now, a lot of overtime. The good news is that the corporation tax rate has greatly reduced and we will certainly benefit from the new rate. But as our business continues to grow, tax planning and particularly its impact on our cash flows becomes a very important element in our overall strategic planning. And with our tax experts we are looking at every opportunity available to mitigate our tax exposure. Hopefully I've answered that but that's not a concrete answer to it right now other that we're looking at it.
Aimee Gaudet: Last question we have via email. Can you shed some light on what you believe an expansion into a new category will do for the company other than revenue increases?
Stewart Wallach: That's a good question. When we initiated our product roadmap strategy in 2017, it was governed by a 3-year looking-forward objective. Increased revenues always at the top of the list. However, sustainability and image of our business factors into our strategic decision making. To expand upon this a bit, there are two areas of the company that we plan to address. One of which is product concentration and the second is customer concentration. I believe that your management is intelligent and disciplined enough to know that addressing these two areas, what I would be considering at this point the weak points of the company is timing. We will enter new channels, new markets and be seen as a very relevant company as a result of our 2018 to '20 product strategy.
Aimee Gaudet: Great, thank you. Doug, I think we can open the lines up.
Operator: Okay. Our first question comes from the line of Anthony [indiscernible] who's a private investor. Please proceed with your questions.
Unidentified Analyst: Hi, good morning. Congratulations on the very good results. Two questions, one to follow up what you had said earlier, when you say that your new product could be privately shown. Does that mean that at that point you'll discuss what the product actually is? Or just I'm trying to understand two things, one will the general public know what the product is, and B, when will the product actually start to be sold and whatever, two whatever distribution methods you choose.
Stewart Wallach: Okay, Anthony it's a fair question. And I assure you that the way our reply is not intended to be hiding or being difficult for you to understand what our objectives are relative to the sales process. But let me share with you exactly what it means. We would not be getting private meetings just to strategize or discuss this. Those meetings took place probably 6 months ago, when I decided we were moving in this direction. The meetings that will be taking place in Q2 will be with product in hand, demonstrating the product, and presenting it to the buying staff of probably 2 to 3 companies in Q2 with the intent of identifying the best approach to launching the product to the public on a limited basis in Q4. I would like to see the product on shelf for Christmas. This is a very ambitious plan, it's a difficult product to produce. But we have been at this point some time we've aligned our manufacturing, we've aligned our supply chain. We are now in testing and approval processes. But we will be presenting the product in Q2 directly. Again, it’s not just a strategic discussion as a product presentation and the attempt is to have this product on shelf on a limited basis in Q4. The formal industry release is the CES Show in January. And for us, that’s a whole new space but Capstone is determined to be a player in this digital age.
Unidentified Analyst : Okay, thank you. And final question, when you talk about making increased investments in personnel, R&D for 2018, will that impact profitability, or is your intent or your expectation that you will continue to be profitable in 2018?
Stewart Wallach: I think it’s the chicken and the egg, Tony. There’s no question that we expect to be profitable and we demonstrated that year-over-year and we also demonstrated our ability to generate cash and with up to our objectives of paying off debt et cetera. One thing I am comfortable with is that we are perceived as a fiscally responsible management team. That being said, I do expect to be profitable but we will make the investments at this point prior to the revenues coming in. That is why we held off on this expansion campaign until our balance sheet had enough cash to allow us to make those kinds of investments. So, while we wouldn’t increase our overheads moderately in anticipation of that success, once those revenues start to track, this will all level out in that we need that R&D and management in place to sustain that business model.
Operator: [Operator Instructions]. Our next question comes from the line of Tony Kamin from Eastwood Partner. Please proceed with your question.
Tony Kamin: Hi, and I apologize I missed most of the beginning of the call, so you may have addressed this. But I was wondering in terms of the new product offering, whether any of it is driven by your perception that you have done a magnificent job on LED side but is there -- have you hit a point where you see growth going forward on that side maybe as some a little lessened so that’s why it’s important to start with a new …?
Stewart Wallach: It’s a good observation Tony and an intuitive inquiry. Let me say this, you are now coming into seven to eight years of LED being mainstream. And because of that and because the light bulb portion of the LED business has moved from what was a replacement business to a conversion business, the excitement and the amount of exposure driven to LED bulbs in and of itself which is outside business line too, but as a category has lessened. The space that’s been dedicated to it has lessened as well, as people in the marketplace have converted their homes. Keep in mind, you are now replacing a bulb product that will last 15 years whereas you used a replace a bulb every year, year and a half. So, the exposure to the overall category is less, the space dedicated to the category is less, which challenges us to be more innovative. Am I comfortable that that’s a $30 to $35 million business, yes, I am. However, just like we were early into that business, it's critical for us to always be at the leading edge and stay in businesses that start-off niche and then bring the mainstream. This new category is not to displace or replace our core business. It’s to compliment that business and to drive the company forward in a much bigger way. The product is far more expensive than what our typical sale is. The product is more software and technology based. It appeals more to the direction of the home automation markets and I think that it’s going to a less, allow us to address two things which are more critical honestly than topline revenue. One is our concentration of product and our concentration of customer base. And I repeat that because you mentioned you weren’t in when I brought that earlier in the webcast. These are the two weak points for me in the company and the new product category addresses both of those. The new product category will be reaching out far beyond just the warehouse club distribution channels that we currently focus on.
Tony Kamin: Thank you for that answer. And then in the market place, the LED market place in terms of your distribution channels and your market share, what are the drivers to maintaining or growing that. Is it, how much of it is price, are you seeing price pressure or is your ability to take price at some point?
Stewart Wallach: Okay, well here I’ll give you an example. Of the two largest warehouse club operations, two years ago, both of those companies had anywhere from four to five vendors in the area, rotating product out et cetera. Today, one of those retail partners has three vendors which were one and the other one has I believe four vendors of which we’re one. So curiously enough as there is this what I would call a correction to the market we have survived quite nicely and our position hasn’t changed. Now, as it relates to price pressure, the pressure isn’t coming to us specifically as it relates to the LED because our products are innovative, unique and they’re not commodities. The price pressure we’re experiencing which also opens other doors is that as we’ve become a bigger company the contribution to support our product lines increases because the expectation increases and today we’re doing substantial revenue and numbers with our partners and they expect us to participate in a bigger way. You can see that this year by what we did, the expense we made in the marketing seasons and consumer rebate et cetera. So yes, if we were still selling the same product line three years ago, Tony I would say those items would be under tremendous price erosion but because we’re continually reintroducing new products and that also goes to my intention of investing to expand our R&D and product development resource. Because we are constantly bringing on new products, we don't see that pressure that possibly a commodity-based company would.
Tony Kamin: Okay. I appreciate that. I'll ask a final question sort of comment. And I think I know the answer given the focus on R&D and new products. But I do believe the share sure are extremely undervalued. And if the company's cash at some point starts to really grow at a future point would you consider the board consider we trying to put a repurchase program in?
Stewart Wallach: Okay Tony just clarification. We approved in December, the board approved a stock repurchase plan for 2018. I believe $750,000 of available cash provided that to your point the cash built. That would be a significant area to invest beyond the R&D and the product development. It's already been approved; the board did approve and it gives us the flexibility to do it at will. And again, we did some reinvestment and stock buyback in 2017. I would expect to do even more in 2018 as a result of two things. One would be the reduction of tax that we expect today. One of budget some of that recovery if you will to stock repurchase plan. And the other of course is that we just drove -- cash now that we're debt free. So yes, there is absolutely no question about it. It's certainly going to be more impactful to do that than to spend those moneys on what I would considering to be a -- generic IR plan.
Operator: Our next question comes from the line of Tomar Cohen from Five Roads Capital Management. Please proceed with your questions.
Tomar Cohen : My first question has to do with your international business. I noticed that your 2016 10-K had more language about international growth opportunities than the 2017 10-K. And I'm just curious is that a sign that maybe there is fewer opportunities and if so why?
Stewart Wallach: Well, let me say this. If you'll take a look at our 2017 product line up. One of our major product launches was a hard wired what we called the [deuce neck] LED light. That's an outdoor light hard wired I'm sure you're familiar with how that fixture operates. That is wired for 120. Now, that product based on its success and/or sell through in the states market, we then went and presented it to other markets. The product in fact was not ready for other markets because we have to rewire the product from an electric specification, the U.S. product won't work in the foreign markets. Prior to that, we've always sold battery operated products. So, the battery-operated products are flexible and they continue to be listed. But as we move into the other markets, we also alluded to the fact that a lot of the outside retailers who’re finding what’s outside of this market, are preferring to go with their own brands as opposed to with the brands that we currently have because they don’t need anything in those markets. That’s a slower process, a longer process. And while we see a decline in this year somewhat, I don’t see that as any kind of a parameter of what’s occurring. There is no particular instance that triggers that occurrence.
Tomer Cohen: Okay, that’s helpful. And then I had a question about the e-commerce channel, I noticed you’ve added language about perceived weakness being your capabilities in e-commerce. And since today most of your sales are in the discount channel club -- discount club channel. I am just kind of curious what prompted you to write about e-commerce as a possible weakness for the company?
Stewart Wallach: The new product category, weakness, what I meant by that Tomer and let me expand upon that if you will, is that the weakness at that point in time was the fact that I elected to steer clear of the e-commerce market because we only had essentially “need to” products without there. Those “need to” product would cause issues relative to our retail partners because they get discounted in some of the online market i.e. Amazon. The new product category and again I don’t mean to be allusive, I am just not in a position yet to make that announcement but I will tell you that the new product category lends itself very nicely to e-commerce online. It’s going to fit beautifully in there and it’s going to provide us that opportunity to diverse across channels and those channels will include but not be limited to e-commerce, home furnishings, home improvement, et cetera. So, it’s a significant implication for the company as it relates to our growth potential.
Tomer Cohen: Understand. I guess that’s a good segway into my last comment to much a question which is just the new products sounds very transformational for the company and for your operations and I am excited to learn what it is, I’d just caution you to be very thoughtful about the team, your capabilities and make sure -- making sure you have everything in place to launch it because sounds like you’re going to be doing some new things as far as how you distribute the products and I would just encourage you to be thoughtful about how you go around launching it.
Stewart Wallach: I appreciate that but I do think we have demonstrated our understanding of operating excellence and I can assure we will not launch something in adjacent. Serving our customer, the way we do is first and foremost. There are no rules that govern our business more so than customer satisfaction, both on our direct client base and user experience. So, I appreciate your comment. And we are sensitive to that and that is exactly why we will fortify the R&D and product development areas because this is not a one-time production of a product, this is an ongoing improvement and enhancement requirement to keep us at the forefront of the new category.
Operator: That is all the time we have for questions. I’d like to hand it back to management for closing comments.
Stewart Wallach: Well thank you Doug and I appreciate. Thanks everybody, as always you know we’re striving to do our best. We have delivered record performance this year, and glad we’ve had an opportunity to identify some of the things that contributed to changes in the balance sheet, all of which were very positive and should you have any additional questions or enquiries, please don’t hesitate to drop and email to me, I’ll do my best to respond in short order and I’m happy to keep an open dialogue especially considering that we have a restricted IR access. So that extent between Amy and myself, we are more than open to receiving your enquiries, questions et cetera. So, thank you very much for your time and look forward to talking to you in the months ahead. Thanks.
Operator: Ladies and gentlemen this does conclude today’s teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.